Operator: Good morning, ladies and gentlemen, and welcome to the Canadian Natural Resources 2015 Fourth Quarter and Year-End Results and 2016 Budget Conference Call. Slides that are included for the call can be found on the homepage of Canadian Natural's website. After the presentation, we will conduct a question-and-answer session. Instructions will be given at that time. Please note that this call is being recorded today, March 3, 2016 at 9 AM Mountain Time. I would now like to turn the meeting over to your host for today's call, Mark Stainthorpe, Director, Treasury and Investor Relations. Please go ahead, Mr. Stainthorpe.
Mark A. Stainthorpe - Director, Treasury and Investor Relations: Thank you, Chris. Good morning, everyone, and thank you for joining our 2015 year-end conference call, where we will discuss our operational and financial results. Additionally, we will discuss our effective strategy, provide details in regards to our 2016 budget, provide an update on our year-end 2015 reserves and review our financial position and financial management strategy moving forward. As Chris mentioned, we will be referring to slides as part of the webcast and the slide deck can also be found on the homepage of our website. The agenda for today's call can be found on slide 2. With me this morning are Steve Laut, our President; Tim McKay, our Chief Operating Officer; Lyle Stevens, our Executive Vice President of Canadian Conventional Operations; and Corey Bieber, our Chief Financial Officer. Before we begin, I'd like to refer you to slides 3 and 4 for the comments regarding forward-looking information contained in our press release and also note, all amounts are in Canadian dollars and production and reserves are expressed as before royalties unless otherwise stated. I'll now pass the call over to Steve Laut. Steve?
Steve W. Laut - President & Non-Independent Director: Thanks, Mark, and good morning, everyone. Before I start this morning, I'd like to acknowledge Doug Proll, our Executive Vice President. After 15 years with Canadian Natural, mostly as CFO and the last few years as Executive Vice President, and an impressive career, Doug decided early in 2015 that he will retire at the end of January 2016. Doug has been an integral part of Canadian Natural's management committee and has made significant contributions to the success of Canadian Natural, not the least of which was his ability to develop people, mentoring Corey to take over the CFO role two years ago, and being the signing board for Corey since that time. In addition, Doug has mentored Mark to take over the role of Director of Treasury and Investor Relations, ensuring a smooth and effective succession. Surprisingly, Doug was not willing to delay his retirement by one month so he could be here for one last conference call, preferring to stick to his plan of travelling to New Zealand and Australia. Now while Doug cannot be here this morning, I would like to thank Doug for all he has done for Canadian Natural. And as most of you who are listening know, Doug is a top notch man. I'll also point out that Doug's retirement and succession reflects the depth and breadth of our management team and the effectiveness of Canadian Natural's succession plans. So turning back to the call on slide 5. Canadian Natural has many strengths starting with our strong, diverse, well-balanced and resilient asset-base, an asset-base that sets Canadian Natural apart from almost all our peers, with long-life, low-decline and low risk assets. As a result, Canadian Natural is a unique company compared to typical E&P companies. Our business model is robust and our strategies are proven and effective. Combined with our ability to execute these strategies results in a base business that allows us to effectively transition to a long-life, low-decline asset base. Canadian Natural's operations are effective and efficient. Combined with our significant capital flexibility, allows us to maintain adequate liquidity, keep relative balance sheet strength, maintain investment grade ratings and provide access to capital markets, as well as ensuring returns to shareholders. Canadian Natural is built for low commodity prices. Canadian Natural is in the final stages of our transition to our long-life, low-decline assets, slide 6. With a 45,000 barrel a day Horizon Phase 2B expansion starting up in seven months, and the 80,000 barrel a day Horizon Phase 3 starting up in Q4 2017. As a result, in seven months, our asset-base strengthens significantly, becoming even stronger, more robust company. Horizon expansion capital dropped significantly in Q4 2016 to C$250 million, with Horizon 2017 capital dropping to roughly C$1 billion and into zero in 2018. Horizon op costs also dropped to roughly C$25 a barrel in Q4 2016 and below C$25 in Q4 2017, enhancing netbacks and adding significant value to the Horizon production stream. With the larger portion of Canadian Natural's asset base being long-life, low-decline assets, our average corporate decline rate drops to roughly 13% in 2018. As a result, our maintenance capital to hold production flat is significantly less compared to a typical E&P company, a roughly C$2.6 billion in 2018, with production levels targeted in 840,000 BOE/d to 860,000 BOE/d range. Importantly, slide 7, Canadian Natural's Q4 2016 cash flow at US$3 WTI, which is well below the current strip, covers that capital spend and dividend. And in 2017, the unallocated cash flow over capital required to keep production flat and dividends increases significantly. In 2017, we target C$865 million of unallocated cash flow at US$43 WTI. And in 2018, we target C$2.1 billion of unallocated cash flow at US$45.50. As a result, our balance sheet quickly strengthens and becomes very robust, all while maintaining our diverse well balanced asset base. As you can see, Canadian Natural is a unique E&P company. Briefly summarizing 2015, slide 8, production was strong, particularly in light of the significant capital cutbacks and a significant portion of capital spending that's allocated to Horizon expansion. And at 851,900 BOEs a day, production was up 8% over 2014, reflecting the strength of our assets and the effectiveness of our capital allocation. Horizon Phase 2B and 3 expansions progressed as planned, with Phase 2B only seven months away from startup. We exercised our capital flexibility with C$3.4 billion taken out of the capital budget, while still delivering 8% production growth. We successfully monetized our third-party royalty stream for C$1.66 billion and have kept relative balance sheet strength ending the year at a debt to book of 38%, all while preserving the optionality of our balanced diverse asset base. In 2015, we delivered very strong FD&A results and reserve replacement numbers as Lyle will highlight. Our North American E&P proved FD&A costs were C$5.90 a BOE with approved FD&A costs including changes to future capital and acquisitions, but excluding the royalty sale, came in at C$1.69 a BOE, both excellent numbers. Proved developed producing reserve replacement numbers were also strong at 179%. Reflected not only the strength of our assets, but our ability to effectively and efficiently lower the cost structure across the board. As Tim will highlight, we made significant progress in reducing the cost structure in 2015. Our capital cost were down 20% to 25%, operating cost down 11% to 27% with C$1.1 billion of operating cost savings in 2015 compared to 2014 unit rates. Canadian Natural is a top tier effective and efficient operator. And in our Pelican Lake, Horizon, primarily heavy oil and thermal heavy oil operations were not only top tier, but industry leading. The global oil and gas industry has undergone a significant structural change as we all know and it will be the top tier operators in term of effectiveness and efficiency that not only survive but thrive. Canadian Natural is a top tier operator. In 2016, slide 9, Canadian Natural is committed to continue lowering the overall cost structure, will complete the 45,000 Horizon Phase 2B with startup targeted in seven months, and progress 80,000 barrel a day Horizon Phase 3 with startup targeted for Q4 2017. We'll maintain our asset base optionality and most importantly, reserve balance sheet strength, our investment grade ratings and returns to shareholders. As a result, our capital budget, which Tim will go through in more detail, will be in the C$3.5 billion to C$3.9 billion range, which is down 32% from 2015 capital program. 54% of this capital program or roughly C$2 billion is allocated to the Horizon Phase 2B and 3 expansion. Production will be an 809,000 BOE/d to 868,000 BOE/d range, with the midpoint down slightly from 2015. Completion of the Horizon expansion is a significant milestone for Canadian Natural, slide 10. Production capacity will ramp up significantly in seven months and in Q4 2016, operating cost dropped to roughly C$25 a barrel. Expansion capital drops to roughly C$1 billion in 2017 and zero in 2018. And in Q4 2017, production capacity wraps up another 80,000 barrels a day and operating cost will take another step down. Horizon is the largest and most important component of our transition to a long-life, low-decline, low risk asset base. 2016 is a milestone year for Canadian Natural, slide 11. Our transition to a long-life, low-decline asset base is coming to completion. Our corporate decline rates are reduced and our maintenance capital costs are low relative to typical E&P companies. As a result, Canadian Natural becomes stronger and more robust with Q4 2016 cash flow covering capital and dividends at US$30 WTI, which is well below the current strip. In 2017, our unallocated cash flow over capital requirements to keep production flat and dividends maps up to C865 million at US$43 WTI. In 2018, our unallocated cash flow increases to C$2.1 billion at US$45.50 WTI. As you can see, Canadian Natural is an unique E&P company and is built for low commodity prices. With that, I'll turn it over to Tim McKay, our Chief Operating Officer to provide more detail on 2016 budget and give a quick overview of our assets. Tim?
Tim S. McKay - Chief Operating Officer: Thank you, Steve. Good morning, everyone. Starting with slide 12, our 2016 capital budget is modest at C$3.5 billion to C$3.9 billion, which is focused on finishing Horizon 2B expansion and progressing Phase 3 towards completion in 2017. We're maintaining our lands and infrastructures in all areas, and have a small amount of spending on quick payout, high return projects that will add low cost volumes to our existing operations. Slide 13, while our capital spending is reduced in most areas compared to 2015, we still see growth in our International division, Pelican natural gas as well as Horizon. In 2016, Horizon has a planned 35-day turnaround as well 2B expansion comes online in just seven months, adding 45,000 barrels a day. And we're targeting to exit with a productive capacity in 2016 of 182,000 barrels a day. On an overall basis, our BOEs will see a slight decrease of 2% year-over-year with a guidance range of 809,000 BOEs to 868,000 BOEs per day. On slide 14, on the operating cost side, we continued to drive efficiencies and cost savings in all areas. When you compare 2014 to 2015 on a unit cost basis, we've made significant programs with savings of approximately C$1.1 billion when compared – comparing these areas on a unit cost basis. Slide 15, our plan for 2016, we will continue to lower our cost structure by improving productivity, leveraging technology, being more effective and efficient in all areas of our business as well as working on our supply chain to lower our overall costs. In seven short months, Phase 2B will be starting up adding an additional 45,000 barrels a day of synthetic oil at Horizon. We'll continue to optimize all our assets doing consolidations and adding low cost recompletion of workovers, volumes and attractive metrics. Turning to our natural gas, slide 16. We are the largest producer in Western Canada with restricted fourth quarter production averaging 1.6 Bcf with liquids rich averaging 25 barrels per million. Our first quarter guidance, we are expecting to be in the range of 1.7 Bcf to 1.8 Bcf as we expect less third-party pipeline restrictions in 2016. We have significant unconventional upside in the Montney and Deep Basin, both top tier natural gas plays in North America. With our significant unconventional lands in the Montney and Deep Basin, we can add cost-effective high value volumes. Our 2016 program of 10 wells is very focused on maintaining those lands for future developments. Slide 17, in Western Canada, our asset base is very diverse. As can be seen, our average operating costs are good when compared to our peers. Comparing year-over-year for 2015 to 2014, we have reduced our operating cost by 11%. When you look at our future natural gas growth, volumes from our Montney and Deep Basin prospects, we are best in class. For example, Septimus Montney production has operating cost of C$0.20 an Mcfe, well below our peers and our competitors. Slide 18, Canadian Natural has quality assets with significant positions in the Montney, Dunvegan and Triassic formations for light crude oil. We have a good inventory of horizontal multi-frac location. Our light oil NGL production in Q4 2015 was approximately 90,000 barrels a day. We have continued to drive our operating cost down by 14% year-over-year. And as we exited 2015, our Q4 operating costs were even lower at C$13.55 per barrel. For 2016, we have a small program of three wells, who will maintain our lands for future crude oil developments. Slide 19, our International light oil has geographic balance to our portfolio and has development and exploration appetite in Côte d'Ivoire and South Africa. Our high return programs at Espoir and Baobab have been very successful, exceeding our original sanctioned volumes and for lower costs. Espoir in 2015 added 6,900 barrels a day versus the 5,900 barrels a day with fewer wells than originally sanctioned. Currently, production at Baobab has added over 13,000 barrels a day for the five wells versus 11,000 barrels a day it was sanctioned on. Both programs are on their last well for 2016. We target to average approximately 49,000 barrels to 56,000 barrels a day from our International business, as well our operating costs are continuing to drop with a 14% reduction in the North Sea and a 24% reduction in Offshore Africa. Slide 20, in heavy oil, Q4 2015, we averaged approximately 120,000 barrels a day. Since the start of 2016, we have shut-in approximately 1,000 barrels a day as we reduced costs in this area. In 2016, we have a very small program of ten wells that will maintain our extensive land base and with our own and operated infrastructure, this allows Canadian Natural to be very effective and efficient operator. Slide 21, our heavy oil operating costs are industry leading, and we continue to drive effectiveness and efficiencies in this core area, leveraging our size, infrastructure with a 15% reduction in operating costs from 2014. Our teams are very focused in reducing costs further in 2016. Slide 22, a key component of our long life, low decline transition is our world class Pelican Lake pool. We're a leading edge polymer flood is driving significant reserves and value growth. Q4 production was 49,000 barrels a day. Pelican Lake generates low cost, low decline production. For 2016, we will not be drilling any wells. We will be doing some workovers, debottlenecking and we target a production increase year-over-year of approximately 6%, as the polymers response continues across the pool. Slide 23, at Pelican Lake, we were able to take our industry leading operating costs down 15% in 2015 and by the Q4 2015, they were at C$6.75 per barrel. Slide 24, in our thermal operations, resource base is massive, with high quality lands that provides the option of bringing on cost effective disciplined program, 40,000 to 60,000 barrels a day project, subject to pricing. In Q4 2015, our thermal properties combined to produce over 135,000 barrels a day. In late December, our third party power outage at Kirby South facility caused some damage to our three evaporators. While the repairs to the evaporators is not capital intensive, we have to do the repairs in sequence as not complete do (17:50) winter shutdown. The repairs of the three evaporators have been completed this week and will be ramping back up in March. During the first two months of 2016, Kirby averaged approximately 32,500 barrels a day, at a thermal efficiency of 2.4 SOR. At Canadian Natural, we have a very comprehensive pipeline and integrative module program, and as a result, in January, at Primrose East, while inspecting our pipeline, cracks were observed. This is as a result Primrose East temporary shut-in until we had determined the extent of the cracks to an in line inspection laws to be completed next week. Both events have impacted in our Q1 thermal guidance of 113,000 barrels a day to 121,000 barrels a day. Moving to slide 25, our operating costs have been very effective and efficient and lowered by 17% when compared to 2015. Q4, we reported C$9.59 a barrel operating cost. Slide 26, at Horizon, our world-class oil sands mining operations, we have 3.6 billion barrels of reserves. Q4 production was approximately 129,000 barrels a day. 2016 is a very important year for Canadian Natural. In seven months, we will bring on stream Phase 2B at 45,000 barrels a day, and Q4 2017, the final 80,000 barrels will come on stream, taking Horizon to over 250,000 barrels a day of light sweet oil with no declines for 50 years. Going to slide 27, we will continue to focus on safe, reliable production, as we will continue to improve our operating cost and prepare to bring Phase 2B on production and target to exit the year of 2016 at the new nameplate capacity of 182,000 barrels a day. Moving to slide 28, in the first few months of 2016, we have averaged approximately 133,000 barrels a day. Reliability at Horizon is an industry leading 90% utilization in 2015. We take pride in our safe, reliable operations which are best-in-class. Slide 29, Horizon's expansion capital requirements of approximately C$2 billion in 2016 dropped to C$1 billion in 2017. By 2018, it's near zero. As the capital requirements drop, our sustainable production ramp-up begins in 2016 as the company is set to take a step change in seven short months. Slide 30, at Horizon, we're delivering industry-leading operating costs, which were down 23% when compared 2014 to 2015. By the end of 2016 with the ramp up of 2B, we are targeting operating cost to be approximately C$25 a barrel in Q4. As Phase 3 comes on at the end of 2017, we're targeting yet another step change reduction in our operating costs and we will realize even greater value at Horizon. Slide 31, we have industry-leading operating costs and they have been trending down since 2013. In 2015, Canadian Natural reduced Horizon operating cost guidance four times, reflecting the great job Horizon team has been doing to reduce cost and be safe and reliable. In summary, Canadian Natural has made significant gains in reducing our cost across the company. We will continue to look ways to become more efficient and effective and further reduce our cost in 2016. We will continue our focus of safe, reliable operations and becoming a top-tier operator in this low price environment. Now, Lyle Stevens, Executive Vice President-Conventional, will talk on our corporate reserves and our excellent F&D cost for 2015.
Lyle G. Stevens - Executive Vice-President, Canadian Conventional: Thanks, Tim. Good morning, ladies and gentlemen. To start our reserves review, I'd like to point out that as in previous years a 100% of our reserves are externally evaluated and reviewed by independent qualified reserves evaluators. Our 2015 reserves disclosure is presented in accordance with Canadian reporting requirements, using forecast prices and escalated costs. The Canadian standards also require the disclosure of reserves on a company growth working interest share before royalties. I'll start with slide 32. In 2015, we had an excellent year from a reserves perspective and our strong performance is reflected in our finding and development costs. Our corporate finding, development and acquisition costs, excluding the change in future development capital, are C$9.96 per BOE on a proved basis and C$11.08 per BOE on a proved plus probable basis. Note that these FD&A costs exclude the proceeds from the disposition of our royalty assets. If these proceeds were included, our corporate FD&A cost improved to C$6.72 per BOE on a proved basis, and C$7.48 per BOE on a proved plus probable basis. In 2015, Canadian Natural has realized significant cost reductions in both development capital and maintenance capital. Results of these improvements are reflected in the future development costs that the independent evaluators incorporated into the reserves evaluation. On a corporate basis, these cost reductions and the 2015 capital program, which is now behind us, are so significant that the negative change in future development capital exceeds our 2015 capital expenditures. This means that it's not possible to calculate the finding and development costs, including the change in future development cost. This calculation is possible for our North American conventional and thermal assets. Here, we have finding, development and acquisition costs, including the change in future development capital of C$1.69 per BOE on a proved basis and C$0.27 per BOE on a proved plus probable basis. These impressive results illustrate how quickly Canadian Natural has been able to adapt to the current low commodity price environment. Turning to slide 33. Even with our significantly reduced capital program, we are able to replace 165% of our production on a proved basis and a 148% on a proved plus probable basis. Perhaps most impressive is the growth in our proved developed producing reserves, where we were able to replace 179% of our reserves. The reserve life index for the company is now 21.5 years on a proved reserve basis and 34.0 years on a proved plus probable basis. Now moving to slide 34. In 2015 we're able to increase our proved developed producing reserves by 7% to 3.871 billion BOEs. Our total proved reserves increased 4% to 5.713 billion BOEs and our total proved plus probable reserves increased 2% to 9.041 billion BOEs. Our reserves evaluators estimates of net present value of future net revenue before income taxes, incorporated the 2015 capital expenditures that are now behind us, the reductions in development and maintenance capital that we've been able to realize and our significant reductions in operating costs. This means that the net present value of our reserves are not severely impacted by the very significant drop in the independent evaluators' commodity price forecast. On a proved developed producing basis, our reserves net present value using a 10% discount, drops 4% to C$37.0 billion. Similarly, on a proved basis the net present value drops 5% to C$65.2 billion. On a proved plus probable reserves, value drops 5% to C$89.0 billion. In summary, these excellent results reflect the strength, balance and great opportunity that we have on our asset base. I'd now like to turn the call over to Corey.
Corey B. Bieber - Chief Financial Officer & Senior Vice-President, Finance: Thank you, Lyle and good morning, everyone. Slide 35, looking at the 2015 annual results, in my view we managed exceptionally well through a 48% drop in WTI crude oil prices and a 36% drop in natural gas prices, we managed with creativity, diligence and focus. The company exercised significant capital flexibility cutting final capital spend by about 55% from our original budget, while still maintaining volumetric growth of about 8% year-over-year. Our operating team has garnered exceptional cost reductions, while maintaining very high levels of reliability. We increased reserves by 4% on the forecast price basis. We garnered a very strong value for the monetization of our royalty assets with shareholders to participate in this well executed transaction. We maintained investment grade ratings with all three of our agencies. Other highlights in the 2015 earnings included the C$627 million gain on the disposition of royalty assets to PrairieSky as well as the net impact of about C$351 million charge reflecting the combined higher income tax rates in Alberta that's partially offset by lower PRT and income tax rates in the UK. Slide 36. In looking at 2016 and beyond, we focused on how the business is undergoing a substantial change over the next several months. As we will show in a minute, we are quickly moving from a capital intensive phase as we complete Horizon Phase 2B and Phase 3 into a period where cash flow increases substantially. In simple terms, we're moving from a period of drawing on the balance sheet to a period in which we are more than able to cover our capital costs and dividends and quickly repay debt even at strip pricing. We started with a strong liquidity of C$3.4 billion at the end of 2015 with the forecast to exit 2016 at about C$1.3 billion borrowing any further capital adjustments, debt capital market activities or other mitigations. Given the dislocations in debt capital markets in North America, we have built a plan that is not reliant on access for the debt capital market. As such, at strip pricing, Canadian Natural believes that we have adequate liquidity to work through our capital requirements and upcoming maturities in both 2016 and 2017. Beyond this base case, particularly in the very real potential cases, strip pricing not coming to fruition, as such a large company, we retain a great many levers at our disposal to further bolster liquidity as required, including the exercise of capital discipline. One thing that often gets overlooked when looking at our debt maturities is the fact that the 2016 maturities also have risk management of cross-currency swaps. So, I'd encourage you to look at our long-term debt note in concert with our financial instruments note to fully understand this. At the end of 2015, the value of our cross-currency swaps is almost C$800 million with about C$200 million expected to be realized through 2016 maturities and over C$200 million on 2017 maturities. The fact that our production base is long-life and low declines and in particular, a no decline Horizon asset. This allows us greater flexibility and time to react in times of commodity price volatility. Slide 37, during 2015, we bolstered liquidity through access to both debt capital markets and the bank markets. Over the last couple of months, we've turned down bank facilities such that no maturities come due prior to the completion of Horizon Phase 3. Slide 38 shows, CNQ and our peer debt levels, as measured in U.S. dollars against our production after royalties. Although our debt levels build over the next three quarters of Phase 2B construction, the quantum of debt in relation to our current production levels remains manageable, particularly given the long-life low-decline nature of our asset base. Similarly, in comparison to our peers, on slide 39, our ending 2015 debt expressed in U.S dollars divided by our constant price SEC reserves is actually toward the low end of the peer group. These two slides really help to emphasize the value of the long-life low-decline reserve base of the company. Slide 40, to get a little more granular, we target this level of debt will come down based on strip pricing and our forecasts for capital and production over the next three years. We have estimated future CapEx levels, as well as related cash flows of recent strip pricing. Using a strip of US$36 per bbl, US$43 per bbl, and US$45.50 per bbl WTI and an approximate US$0.72 C$1 (30:54), we chart our quarterly and annual cash flow in green and targeted capital expenditures in blue over the next three years. Dark blue represents our conventional expenditures, as well as rising sustaining CapEx, while light blue represents our major project expenditures. As seen on this slide, Q4, 2016 becomes an inflection point where the next tranche of Horizon production comes on stream and the Horizon expansion capital reduces to only funding of Phase 3. At this point, the company again generates free cash flow more than sufficient to cover its dividends. In fact, we estimate we cover our capital expenditures and dividends at approximately US$30 per bbl WTI pricing. In 2017, we benefit from a full year of Phase 2B production adds and complete the build-out of Horizon Phase 3, we forecast to modestly reduce debt in that year. For 2018, we target to be complete the Horizon expansion, further increasing cash flows and eliminating these Horizon expansion CapEx amounts. You will note that a combination of higher commodity pricing and additional free cash flow then allow for the company to again reinvest in its conventional operations, fund its dividend and make more meaningful repayments against long-term debt. Slide 41 shows that we remain well within our long-term targeted range of 25% to 45% debt-to-book capitalization and start to reduce these loans in 2018. We always remain well, well below for our bank covenant levels of 65%. Finally on slide 42, while debt-to-EBITDA will increase in 2016, the combination of repaying debt, improving Horizon production levels and commodity price rebounds are forecast to quickly return to our long-term targeted range of 1.8 times to 2.2 times in the 2018 to 2019 timeframe. In short, the company is very close to its targeted completion of the Horizon expansions, following which the company is committed to reducing its overall debt levels and leverage metrics back to within its long-term targets. With respect to the PrairieSky on slide 43, we continue to believe this was an excellent transaction for Canadian Natural shareholders. We reduced debt by C$673 million in Q4 2015 and booked an after-tax gain on sale of approximately C$627 million. We currently target to distribute a majority of the PrairieSky shares by way of dividend, return of capital or other such means on or after our next Annual General Meeting in 2016. In my opinion, few companies would be able to effectively execute in such a volatile environment, while still achieving its long-term goals and not compromising its financial integrity. The company is already seeing the benefits of a transition to a long-life, low-decline asset base and how it can generate and maintain cash flows even during the trough of the cycle. The completion of Horizon Phase 2B is only a few months away, and this will continue our transition and bolster our financial strength. Steve, back to you.
Steve W. Laut - President & Non-Independent Director: Thanks, Corey. As you've heard this morning, in many respects, 2015 was a strong year for Canadian Natural. Everything that was within our control, we've done well. We've kept the team together; and have, through focus, innovation and hard work, lowered our cost structure across the board, exercised significant capital flexibility and discipline, and at the same time grew production 8%. Our FD&A cost were excellent, replacing 179% of our proved developed producing reserves. We also monetized our royalty assets, and maintaining relative balance sheet strength and, importantly, returns to shareholders. We expect to do more of the same in 2016. 2016 is a milestone year for Canadian Natural. Slide 44, our transition to a long-life low-decline asset base is coming to completion. Our corporate decline rates are reduced and our maintenance capital costs are low relative to typical E&P companies. As a result, Canadian Natural becomes stronger and more robust with Q4 2016 cash flow covering capital and dividends at US$30 WTI. In 2017, our unallocated cash flow over capital requirements to keep production flat and dividends ramps up to C$865 million at US$43.00 WTI, and in 2018 increases to C$2.1 billion at US$45.50. As you can see, Canadian Natural is a unique E&P company and is built for low commodity prices. That concludes our comments this morning and we'll now open the line for questions.
Operator: The first question is from Neil Mehta with Goldman Sachs. Your line is open.
Neil Mehta - Goldman Sachs & Co.: Good morning. Congrats on the results. And thank you for a thorough presentation. On slide 40, I want to start there and your updated capital spending budget post 2016. Can you just talk us through post 2016, what the CapEx levels are in 2017 and 2018, and then what are the different flexes or ranges of outcomes that you can see in those years?
Steve W. Laut - President & Non-Independent Director: Okay. Thanks, Neil. Let us talk a little bit about 2017 and 2018, remember that we're a ways away from that, so we're going to give you...
Neil Mehta - Goldman Sachs & Co.: Yes.
Steve W. Laut - President & Non-Independent Director: ...some ranges here. But in 2017, we're looking to spend around that C$2.5 billion to C$2.6 billion, and remember about C$1 billion of that is Horizon expansion for Phase 3.
Neil Mehta - Goldman Sachs & Co.: Right.
Steve W. Laut - President & Non-Independent Director: Getting to 2018, we expect to spend about the same, about C$2.5 billion to C$2.6 billion. So what that means is, in that capital spending, we'll allocate more capital to some of our conventional gas and oil developments and that'll keep our production flat. Those are the numbers that keep our production flat. We're assuming we have low oil price throughout at that time.
Neil Mehta - Goldman Sachs & Co.: And just to confirm, so at that capital spending level that you show on the slide, we should assume production is flat 2017 and 2018?
Steve W. Laut - President & Non-Independent Director: That's correct. Yeah.
Neil Mehta - Goldman Sachs & Co.: Okay. And then as we think about the funding gap here in 2016, just wanted to talk through PrairieSky and currency hedges and the different options you have there. Is there the opportunity to monetize some of the currency hedges which are above market? And then in PrairieSky, I guess the intention is to distribute that to shareholders, the shares you have, at least some of them. Is there the opportunity to maybe hold that on to the balance sheet to further protect the balance sheet?
Steve W. Laut - President & Non-Independent Director: So what I'll do, Neil, is I'll answer the PrairieSky question here first and then I'll get Corey to talk about the currency swaps. So we're going to distribute 22 million shares to our shareholders on or after the AGM, and our intention is to monetize the remaining 22 million shares and that method of monetization will be determined some time after the AGM. So we haven't decided how we're going to do that. So it's too early to say. Corey, you want to talk about the...
Corey B. Bieber - Chief Financial Officer & Senior Vice-President, Finance: Sure, sure. Neil, so at the end of 2015, the mark on our cross-currency swaps was approximately C$800 million give or take. About C$200 million of that will actually be realized during 2016 maturities. So it'd not make any sense to monetize them as they're actually going to monetize themselves this year. But a further C$200 million to C$240 million comes due in 2017. And so, again, that will be naturally monetized. The opportunity you're probably speaking to is the post 2020 cross-currency swaps, and the mark on those is in that C$400 million range again. And there would be an opportunity to look at monetizing those. And at the end of the day, you're trading future dollars for today dollars, but it can help bolster liquidity and help bridge the funding gap, if there is any, during the Horizon build-out. So that is one of the tools in the toolbox that we have available to us.
Neil Mehta - Goldman Sachs & Co.: Thank you, Corey. Last question from me is on the M&A outlook. What is the M&A environment right now as it relates to asset sales or even corporate transactions? And then what do you think CNRL's role will be in that discussion?
Steve W. Laut - President & Non-Independent Director: I think right now the M&A outlook is, I think there's still too big a gap between sellers' expectations and what the buyer wants to pay, so that that arb (39:34) hasn't closed. So it could take some time for that to happen, so expectations on both sides have not migrated together. So we'll see; I don't think much will happen because of that. Our view is we look at every property or assets that come through our core areas. We look at lots, but we bid on very few and we get even less. So I don't see us being that active, although we do always look.
Neil Mehta - Goldman Sachs & Co.: All right. Thanks, guys. Congrats.
Operator: The next question is from Phil Gresh with JPMorgan. Your line is open.
Phil M. Gresh - JPMorgan Securities LLC: Hi. Good morning.
Steve W. Laut - President & Non-Independent Director: Good morning.
Corey B. Bieber - Chief Financial Officer & Senior Vice-President, Finance: Good morning, Phil.
Phil M. Gresh - JPMorgan Securities LLC: The first question is just a follow-up to Neil's question on slide 40 on the production side of things. So, understood on the amount of capital required to keep base production or keep production flat. I guess, the question is just that if you have Horizon ramping in 2017 and 2018, are you explicitly saying that you expect production to be flat or could it actually be more than flat, just based on the timing of those project ramp schedules?
Steve W. Laut - President & Non-Independent Director: It's going to be lumpy, Phil, but we expect to average production for those years to be flat over year-over-year. I guess, that's the best way to answer that question. So...
Phil M. Gresh - JPMorgan Securities LLC: Got it. So, well just put it another way, are you basically saying that the base production in 2017 would be down roughly 45,000 barrels a day and then in 2018, it would be down to 80,000 to offset the growth from Horizon?
Steve W. Laut - President & Non-Independent Director: No, we are not saying that. We are saying 2018 over 2017 will be flat, relatively flat, and 2017 over 2016 will be relatively flat.
Phil M. Gresh - JPMorgan Securities LLC: Okay. So, with growth from Horizon offset by declines elsewhere?
Steve W. Laut - President & Non-Independent Director: Yeah. And our mix changes, obviously, will become longer life low decline – decline rate drops through 2016, 2017 and 2018.
Phil M. Gresh - JPMorgan Securities LLC: Okay. And then in a scenario if pricing is better, is priority one, I guess, to take that down more, or where would you stand on excess capital and potentially reinvesting in the business versus debt pay-down based on the schedule you laid out?
Steve W. Laut - President & Non-Independent Director: I think it's pretty clear. If you look at our track record, Phil, we've stretched the balance sheet before and we've done large acquisitions in each and every time, we have taken the cash flow from that and paid down debt. So our first priority will be to pay down debt here, as we move forward.
Phil M. Gresh - JPMorgan Securities LLC: And is there a general level? I mean, you had a fairly wide range. Is there a level that you will be more comfortable with where when you get to the certain point, you'd be more inclined to do buybacks or something else?
Steve W. Laut - President & Non-Independent Director: I think it all depends on that – Corey talked about ranges in his talk there and you see it in the slides. I think it all depends on what the commodity outlook is, what are our cost structures and everything else that goes with it. So it's tough to make the call, but I think it's pretty clear that our priorities are to maintain balance sheet strength. We have lots of assets and lots of opportunities. We look at acquisitions opportunistically and returns to shareholders are probably right behind paying down debt.
Phil M. Gresh - JPMorgan Securities LLC: Okay. Last question is just on the midstream business, obviously, have a lot of assets available there as well. Are those strategic to the portfolio at this point or just tell me how are you thinking about those?
Steve W. Laut - President & Non-Independent Director: Yeah, I would say almost all our midstream assets are strategic and one of the reasons you've seen Tim talk about our cost structure. One of the reason we are able to keep a little cost structure and lower that cost structure more is that we do control the midstream assets and we control the whole supply here production chain and that allows us to consolidate and do many things here to keep our costs low. So, for us, it's strategic to own those midstream assets.
Phil M. Gresh - JPMorgan Securities LLC: Okay. Got it. Thank you.
Operator: The next question is from Amir Arif with Cormark Securities. Your line is open.
Amir Arif - Cormark Securities, Inc.: Thanks. Good morning, guys. Congrats on a good quarter. The first question is more as you get the Horizon ramped up and you've got higher synthetic production mix in your corporate mix, does that change your views or thought process in terms of how you'd like to develop additional assets going forward if you just assume the strip pricing? I mean, does it make you more comfortable with more heavy oil growth?
Steve W. Laut - President & Non-Independent Director: I think, Amir, as we've talked before, we are not sort of strategically tied down to having a certain exit mix or balance. We are totally focused on value growth at Canadian Natural. So we will allocate capital to maximize value and that's our first priority. So I don't think it's going to change if they have more SCO. It does change the mix of the company because clearly our decline rates go down, our maintenance capital is significantly less to whole production, and that gives us a lot more robust company and a lot more strength and a lot more capital allocation options going forward. But it doesn't change how we allocate, it's all based on return on capital.
Amir Arif - Cormark Securities, Inc.: Okay, thanks. And then in terms of the shut in volumes. Can you highlight how much volumes are shut in right now on both, I think it's C$50 million on the gas side and just how much is on the oil side and at what oil and gas price do you hit cash flow breakeven in terms of bringing those back online?
Steve W. Laut - President & Non-Independent Director: So, Tim, you want to talk a little bit about how much we got shut in right now?
Tim S. McKay - Chief Operating Officer: So, on the natural gas side, we have currently about 40 million a day shut-in. 20 million I would consider is more long term as prices have softened and the 20 million other we're just looking at to see how we can reduce our cost structure further for 2016 and see what we can do there. On the oil side, we have about 1,000 barrels a day pretty well all heavy oil. And again, we're reducing our cost quite quickly in heavy oil and we don't see us doing too much more shut-ins there.
Amir Arif - Cormark Securities, Inc.: Okay. Is there a price, Tim, at which WCS price at which those 1,000 barrels a day would make sense to put back?
Steve W. Laut - President & Non-Independent Director: We have to look at that, and to (45:55) Tim's point it's how fast we can drop the cost structure. I think some of it, we would say we're going to wait until we see stability in the WCS price before we brought it back, so you want to be spending much money to bring back production. It's going to cost you some money to reestablish it and then go shut it in two months later. So we'll wait to see some stability.
Amir Arif - Cormark Securities, Inc.: Makes sense. And then just final question on Horizon. Just I was wondering if you can give us a little more color on the quarterly outlook, just given that, I think there was a turnaround happening mid-year, if you can tell us how long that turnaround is going to be? And then it seems like you're tying in some of Phase 2B at that time. So, is there the opportunity for production to ramp up before year-end?
Steve W. Laut - President & Non-Independent Director: So for Phase 2B and the turnaround, so this is a pretty important year for us. The turnaround is scheduled for like three days, five days, it's going to start in July. During that time, when we're making a much of tie-ins for Phase 2B, so this is opportunistic in that sense. And after the turnaround is done, we will start commissioning and we expect to start up in the fourth quarter and seven months really in September, we're going to start starting up Phase 2B. That being said, in April here, we are already start commissioning parts of Phase 2. So it's not going to be everything has to happen in August and September to get September production. We are starting in April commissioning for parts of the plan.
Amir Arif - Cormark Securities, Inc.: Okay. And then by year-end we should be close to your full productive capacity of 182,000?
Steve W. Laut - President & Non-Independent Director: That's the plan and that's the target we expect to be there sooner actually.
Amir Arif - Cormark Securities, Inc.: Okay. And utilization rate on 90%, 95% range (47:32)
Steve W. Laut - President & Non-Independent Director: We target between 92% and 96%.
Amir Arif - Cormark Securities, Inc.: Okay.
Steve W. Laut - President & Non-Independent Director: And I think so far we're doing – in the first two months of 2016, we're doing about 97% utilization.
Amir Arif - Cormark Securities, Inc.: Yeah, okay. Terrific. Thanks, guys.
Operator: The next question is from Chris Feltin with Macquarie. Your line is open.
Chris Feltin - Macquarie Capital Markets Canada Ltd.: Hi, guys. Great quarter. Just a quick question on the production outlook for 2016 here. It is interesting to see the production guidance. The range obviously increased, but the upper end is actually above the upper end of guidance that you put out previously. I was just curious taking a look at what would have to happen for you to get to the upper end of your production guidance right now? Just curious like what the path would be to get towards that upper end of guidance?
Steve W. Laut - President & Non-Independent Director: I think the path really is through thermal production and Horizon effectiveness. As Tim mentioned in the call here, we have some issues with Primrose East pipeline. So, depending how quickly we can get repairs or how much forecast to be done which we don't know yet, that's why the range widened, that could drive us to the higher end of the range or towards the lower end of the range. Right now we feel pretty confident being in the mid-point of the range.
Chris Feltin - Macquarie Capital Markets Canada Ltd.: And would TCPL gas outages be impacting that potentially as well on the gas side?
Steve W. Laut - President & Non-Independent Director: On the gas side, we also have widened the range because we're not totally sure what's going to happen here with TCPL maintenance. In 2015, that was an issue. So, that's another factor that affects the range on guidance.
Chris Feltin - Macquarie Capital Markets Canada Ltd.: Okay, that's helpful. Thanks, guys.
Operator: The next question is from Greg Pardy with RBC Capital Markets. Your line is open.
Greg Pardy - RBC Dominion Securities, Inc.: Yeah. Thanks. Good morning. Steve, you mentioned a 13% decline rate in 2018. What would the corporate decline rate now like in 2015 be all in?
Steve W. Laut - President & Non-Independent Director: It's about 15% right now.
Greg Pardy - RBC Dominion Securities, Inc.: Okay.
Steve W. Laut - President & Non-Independent Director: So two points on a fairly large production basis is significant.
Greg Pardy - RBC Dominion Securities, Inc.: Okay. Got it. And then maybe just continuing along the liquidity side, you boosted your royalty production, now it's a couple of thousand BOE a day or so. Is that something that's on the table to sell at some point?
Steve W. Laut - President & Non-Independent Director: I think that's one of the things that Corey talked about. As you know, we have a lot of royalties we pay to ourselves, but over time here we've collected about another 1,000 barrels a day, or BOEs a day I should say, of royalties that we collect from third parties, so that is something that we'll clearly look at as we go through 2016 to see if we should monetize.
Greg Pardy - RBC Dominion Securities, Inc.: Okay.
Steve W. Laut - President & Non-Independent Director: That's one of the things that Corey talked about.
Greg Pardy - RBC Dominion Securities, Inc.: Okay. Great. And last question from me is just with respect to your revolvers and so forth, I mean, if you sought to add capacity on your revolvers or you wanted an increase in the term loan with your banking syndicate, do you think that would be an issue?
Corey B. Bieber - Chief Financial Officer & Senior Vice-President, Finance: Greg, it's not in the plan right now, so it's not something we really explored with our banks. I would never say never. I think we've had tremendous support by our banks. That being said, I don't think we need to increase liquidity or further term out. As I pointed out earlier in the call, right now all of our maturities are in that 2018, 2019 timeframe. So we're pretty comfortable with where they are.
Greg Pardy - RBC Dominion Securities, Inc.: Okay.
Corey B. Bieber - Chief Financial Officer & Senior Vice-President, Finance: During the first quarter, we did extend a maturity that was coming up in January of 2017 and extended that up to 2019, and added another small bi-lot (51:05). So that is evidence that even here in the earlier part of the year, the banks are working together with us.
Greg Pardy - RBC Dominion Securities, Inc.: Okay, perfect. Thanks, guys.
Corey B. Bieber - Chief Financial Officer & Senior Vice-President, Finance: Thank you.
Operator: The next question is from Neil Mehta with Goldman Sachs. Your line is open.
Neil Mehta - Goldman Sachs & Co.: Hey, guys. Sorry for the follow-up here, but two quick ones. One to confirm that there is no intention of doing equity any time soon. I think some of the decisions around the capital reductions are in many ways to stave off debt, but given the amount of equity that has come to the market in the upstream space in the last couple of months want to get that confirmation?
Steve W. Laut - President & Non-Independent Director: Thanks, Neil. If you look at the Canadian Natural, so for the last 25 years and it's still true today, we take a long-term view. And if you look at our underlying business model, the strength of our assets, the effectiveness and efficiency of our operations, which you can see they delivered top-tier operating costs, if not industry-leading operating costs in many of our areas, you combine that with the fact that we're nearing the completion of Phase 2B here, which is only seven months away and in that point in time, the Q4 cash flow will cover all our capital requirements and dividends, even at US$30 WTI and plus the fact that we have ample liquidity. We do not see any need to look at reducing the dividend or raising equity.
Neil Mehta - Goldman Sachs & Co.: Very clear. Just wanted to confirm. Thank you.
Steve W. Laut - President & Non-Independent Director: Yeah. Thanks for asking the question.
Operator: The next question is from Fai Lee with Odlum Brown. Your line is open.
Fai Lee - Odlum Brown Ltd.: Hi. It's Fai here. Steve, in terms of the C$2.6 billion of maintenance CapEx forecast for 2018, can you maybe just talk about how you arrived at that number? And I guess related to that question is, some of that capital that's being spent on Horizon expansion is getting redirected into the more conventional businesses. What are the kind of priorities you could see in 2018 where some of that capital will be heading towards?
Steve W. Laut - President & Non-Independent Director: I think the answer is the same as we had before. It was a different question, but it's the same answer. We always look to allocate capital to maximize value. So, we look at our average cost to add production across-the-board and we use a sample mix, and we know our decline rates in the conventional business, there is no decline in Horizon, there is no decline in Pelican and we know where we can add production at those costs, and with those costs, we can maintain production. But we don't have a bias to where we go. We go to where it adds the greatest value.
Fai Lee - Odlum Brown Ltd.: Okay. And in terms of – okay that's fine. And in terms of the FX assumption, just curious, you've had the WTI kind of going up over the next couple of years. But the FX seems to be flat. I'm just wondering how you arrived at that assumption or if it's coming from a sell-side estimate?
Steve W. Laut - President & Non-Independent Director: Yeah, Fai, that was simply the strip at the point in time that we determined.
Fai Lee - Odlum Brown Ltd.: Okay. Thank you.
Operator: Showing no further questions at this time, I'll turn the call back over to Mr. Stainthorpe for any closing remarks.
Mark A. Stainthorpe - Director, Treasury and Investor Relations: Thanks, Chris, and thank you, everyone, for attending our conference call today. As we continue to deliver on our effective strategy and manage through a period of depressed and volatile commodity prices, Canadian Natural has a very strong and diverse asset base, an enviable balance of production and a strong well developed plan. Our focus remains on safe, efficient and reliable operation, and a sound financial position, supported by available liquid resources. If you have any further questions, please give us a call. Thank you again, and we look forward to our Q1 2016 conference call in May. Thanks and goodbye.
Operator: Ladies and gentlemen, this concludes today's conference call. You may now disconnect.